Company Representatives: Martin Franklin - Executive Chairman Ben Gliklich - Chief Executive Officer Scot Benson - President, Chief Operating Officer Carey Dorman - Chief Financial Officer Yash Nehete - Senior Associate, Corporate Development, Investor Relations
Operator: Good morning ladies and gentlemen and welcome to the Element Solutions, First Quarter 2020 Financial Results Conference Call. All participants are now in a listen-only mode. [Operator Instructions] Please note, this call may be recorded. [Operator Instructions]  I will now turn the call over to Yash Nehete, Senior Associate, Corporate Development and Investor Relations. Please go ahead.
Yash Nehete: Good morning and thank you for participating on our first quarter 2020 earnings conference call. Joining me this morning are Sir Martin Franklin, our Executive Chairman; CEO, Ben Gliklich; President and COO, Scot Benson; and CFO, Carey Dorman.  Please note that in accordance with Regulation FD or fair disclosure, we are webcasting this conference call. Any redistribution, retransmission or rebroadcast of this call in any form without the express written consent of Element Solutions is strictly prohibited.  During today's call, we'll make certain forward-looking statements that reflect our current views about the company's future performance of financial results. These statements are based on certain assumptions and expectations of future events that are subject to risks and uncertainties. Please refer to our most recent SEC filings for a discussion of the most significant risk factors that could cause actual results to differ from expectations and predictions.  Please note in the earnings release and supplemental slides issued and posted today, Element Solutions has provided financial information that has not been prepared in accordance with U.S. GAAP. For definitions and reconciliations of these non-GAAP measures to comparable GAAP financial measures, please refer to the release and slides which can be found on the company's website at www.elementsolutionsinc.com, in the Investors section under News & Events. It is now my pleasure to introduce Martin Franklin.
Martin Franklin: Thank you, Yash, and good morning everyone. To get started, we want to join the chorus, thanking health care workers, first responders, hospital staff and all the individuals working in the central jobs that are helping our employees, our families, our customers and the world at large through this unprecedented time. Your efforts are immensely appreciated and on behalf of Element Solutions, we thank you.  Before turning the call to Ben and the team to take you through the quarter and our outlook, I'd like to make a few introductory comments. First, I could not be prouder of how the team at Element Solutions has navigated the year thus far. They have moved quickly and demonstrated great flexibility to overcome the cascade of challenges that has faced our customers and our supply chain. At the same time, they have been measured in their actions and have not lost sight of the long-term opportunity for this business.  We have a resilient business with strong and stable cash flows, something that we have demonstrated in abundance over the last 15 months, but this does not happen automatically, and our team has proven capable of successfully operating this business in both good and more challenging times. The team is deeper than the people you hear from on these calls and even than the broader group you met at our Investor Day last year. We have strength and depth.  It is in this bit of sweet context that we're announcing Scot Benson's upcoming retirement today. Scot has been a key leader at Element Solutions and its predecessor companies for two decades, and his contributions to our company's success are remarkable. The team he helped build and has grown, allows us to – allows him to step back with the utmost confidence that the business will continue without a hitch. That is a testament to his leadership. His valuable experience will remain with the company, not only in the leaders he has mentored, but also on our Board, where he will continue to serve. Thank you from all of us Scot.  You will hear more from Scot shortly, but first, let me turn this call over to Ben. Ben?
Ben Gliklich: Thank you for those comments Martin and good morning everyone. I'd echo Martin's remarks about our immense gratitude to those on the front lines fighting the coronavirus and helping support those who have been impacted. At the same time, I would add my enthusiastic thanks to the large constituency within the ESI team that continues to work in support of the essential industries.  Throughout this pandemic we have proudly been providing critical inputs for lifesaving electronics applications and packaging for the food and consumer packaged goods industries. Those customers are relying on us today more than ever.  This has been a very challenging period for all of us as individuals and as a business, and Element Solutions has met the challenge on both fronts. We've taken strong actions to protect our people through increased health and safety protocols, health checks at our facilities, staggered shifts and moving a large portion of our office-based organization to working from home.  The team has responded equally strongly to enable continued supply of products to our customers, navigating rapid changes, impacting facility availability, labor availability, freight and shipping logistics and supplier capacity. Today, all of our facilities are open and remarkably, perfect order performance, a key quality metric we track in our supply chain improved in the first quarter despite all of this. Strong testaments to the performance of our supply chain group.  The coronavirus remains with us today and for the foreseeable future and its impact will persist. From a business perspective, the impact of the coronavirus in the first quarter was concentrated in Asia, and although Asia is our single biggest region, our overall results for the quarter were quite strong.  Factory closures impacted sales in China starting in February, but improved over the course of March. Our ability to withstand what was a sizable disruption in China was a testament to the breadth and diversity of our business and its supply chains, the quality of our team which reacted quickly and decisively to ensure continuity of supply, and the strength in underlying electronics market, which has been resilient year-to-date.  The sales impact in Asia was largely offset by increased demand in other regions, which in some cases we believe came from customers preparing for the factory closures and supply chain disruptions we are now seeing in April and into May. Our circuitry business was quite solid in the quarter despite being an Asia centric business, as demand associated with 5G and data center applications remained robust. Our semiconductor business also benefited from similar trends.  Our assembly business, which is further down the electronic supply chain and exposed to a wider universe of electronics applications was the laggard in the group. This benefited margins as assembly has a lower margin profile given the metal pass-throughs captured in its sales. We also had a strong quarter in our Graphics business, which saw double-digit organic net sales growth on increased volumes from CPG customers given increased demand for packaged goods.  Our first quarter results are a product of our strategy of owning diversified high-quality businesses with stable margins and cash flows and running them well and those results were particularly noteworthy in the context of the headlines we've been seeing over the past several months.  Overall net sales fell 3% organically, but constant currency adjusted EBITDA grew 14%, with margin expansion of more than 300 basis points. This was a product of improved mix, which contributed approximately 180 basis points as the business is more impacted by coronavirus, our industrial and assembly units, our lower margin and of cost savings.  Our focus on managing costs, which yielded $50 million of savings in 2019 translated to over $8 million in OpEx savings in the first quarter, which contributed 120 basis points to that margin expansion. Cost savings in the quarter reflect both the carryover savings from actions we took in the second half of last year and additional savings associated with the current business environment.  We've taken further cost action in anticipation of a period of continued demand weakness, including a 15% salary reduction for me, a 10% salary reduction for many other top leaders around the company and others in the more impacted businesses, and other personnel actions in parts of the business where demand has been most impacted by the coronavirus. Importantly, we consider all of these actions temporary. When our markets recover, we expect to be well positioned with our workforce to capitalize on that recovery.  Adjusted earnings per share this quarter increased 25% year-over-year, as EBITDA performance was compounded by our buyback activity over the course of 2019. This result demonstrates the power of prudent capital allocation, aligned with operational excellence.  Our balance sheet is stable with no significant near-term maturities and our strong liquidity position, bolstered by the business’s historically stable cash flow generation gave us the confidence to repay our revolver earlier this month.  We generated more than $50 million of free cash flow this quarter, which is burdened by more than $10 million of safety inventory builds, as well as the impact of last year's incentive compensation, which was largely paid in March. We're pleased with our results in the first quarter, while fully aware that the path forward will continue to be challenging. We will discuss our outlook and guidance later in the call.  I will as usual turn the call shortly to Scot. Before doing so, a quick word about Scot. Element Solution and its predecessor companies have been fortunate to have Scot as a leader for the past 20 years. He's made meaningful contributions across all aspects of the business and helps position us for a continued success. I've been fortunate to work closely with Scot for many of those years and to have had him as my partner. His impact on this business will carry on for a very long time and the team he has built and developed around the world. He will continue to be a friend and adviser on the Board. Scot?
Scot Benson: Thank you, Ben and Martin, for the kind words. I stepped back from Element Solutions at the end of June with a great deal of pride and fulfillment based on the high-quality organization it has become. I know it’s not only great businesses, but also great people and great values.  While my ideal scenario would have been to retire with record earnings and bluer skies, I came to this decision after seeing how well the team has managed through this challenging period; how well we have come together as a company under the new Element Solutions structure, and how this business has reached a point where it can truly shine, even through very difficult moments.  Our portfolio of businesses is built to withstand moments like these, with stable and diversified businesses and management teams who know how to run them in growth markets and down markets.  The first quarter was a case study with the Americas and Europe, along with our Graphics and semiconductor businesses, mostly offsetting the weakness in Asia associated with COVID-19. This quarter also demonstrated the underlying strength of the secular trends supporting our business, with the Electronics business bouncing back quickly in China to support new applications like 5G, which are demanding investment even in periods of broader economic weakness.  I am thankful for the opportunities Element Solutions and its predecessor companies have created for me over the past 20 years and for the great relationships I have built with incredible colleagues. I will be enthusiastically supporting Ben and the team for a very bright future and look forward to continuing to contribute actively on the Board of Directors.  Let me turn the call to Carey to take you through some of the financial highlights from the quarter. Carey?
Carey Dorman: Thank you, Scot. I am now on slide six. As Ben mentioned earlier, our first quarter was relatively strong from an earnings and cash flow perspective and our balance sheet remains solid. We are managing through the current demand disruption with a focus on preserving profitability and cash flow. Therefore, our attention is not just on cost, but also on working capital and of course on supply chain continuity. That is, ensuring that we continue to supply high quality products and services to our customers.  This quarter we intentionally built excess inventory in both raw materials and finished goods. Supply chains are vulnerable to shut down and we aim to be prepared to continue to serve our customers should our suppliers close or our own facility operation gets disrupted.  This inventory build was about $10 million to $15 million in the quarter. Our continued emphasis on driving free cash flow as a hallmark of these businesses translated again to a strong result. Absent the inventory build, our free cash flow would have been even stronger than the $51 million we generated.  We deployed $33 million of cash in the quarter to repurchase 3.7 million shares at an average price per share of $8.82, and invested $6 million to acquire a new offshore fluid technology that will help support our customers with next generation sustainable capabilities. We also paid $14 million in legacy taxes associated with the sale of Arysta to UPL, and we do not expect to have any further significant net tax liability owed to UPL going forward.  Ben will take you through our financial outlook shortly. I would note however that the cash flow characteristics of this business are such, so on the top line decline our conversion of net sales to free cash flow should improve as working capital is released and other demands on our capital decline as well.  Cash flow this year is also expected to be aided by one-time benefits from the CARES Act and similar government actions around the world. We are reducing our cash tax forecast of $75 million and maintaining our cash interest expense outlook at $70 million for the year based on what we know to-date. This helps contribute to cash flow conversion which we expect to be as strong in 2020 as it was in 2019.  From a balance sheet perspective, we ended the quarter with net leverage of 3.2x adjusted EBITDA, unchanged from the prior quarter. We drew our revolver in March out of an abundance of caution as we started to see credit market instability. This left us with nearly $500 million of cash on the balance sheet at quarter end.  We were worried that the economic impact of coronavirus could translate to a liquidity shortage in our bank partners. With Central Bank successfully stepping in to stabilize the financial system, we repaid our revolver in full on April 20. Our liquidity position remains unchanged. Similarly, our capital structure provides significant runway and flexibility as we have no significant maturities until 2024. We intend to remain prudent and disciplined with our cash, to ensure that this position of strength holds. I will now turn the call to Ben for an update on our guidance. Ben?
Ben Gliklich: Thank you, Carey. In March we rescinded our 2020 financial guidance. Any projection at that time was immediately stale, given the rate of change in our markets as a result of the spread of coronavirus and the regulatory reactions to it. We believe giving annual guidance in an environment like today would not be helpful given there are as many economic forecast as there are forecasters and the ranges are remarkably wide.  But given Element Solutions is new in its current configuration, we want to set a baseline for performance in this environment. We expect adjusted EBITDA in the second quarter to be between $70 million and $75 million.  Assuming economic conditions continue at current levels through the third quarter, we expect our Q2 adjusted EBITDA guidance range to be the floor for the third quarter as well. These numbers include an FX headwind for full year 2020 that has grown to about $15 million year-over-year. We believe there is room for us to materially exceed this baseline outlook if our end market should improve above current levels in the second half of the year.  April has been a difficult month with so much of our industrial supply chain closed in the West. Our Industrial business represents about 30% of net sales, and about 75% of that is in Europe and the Americas. Demand for that business is down more than 50% this month. We expect demand in the industrial business to improve when automotive OEMs reopen and believe many of them likely will in the coming months.  Our Electronics business which represents 60% of net sales, is under pressure, but has been more resilient. Most of that business is in Asia, which has improved significantly in the past two months.  Our Graphics business is benefiting from strong demand for consumer packaged goods and our offshore business has not yet seen the impact of low oil prices because of the longer lead times for offshore energy activity. Nonetheless, we've pulled incremental levers to preserve profitability. As mentioned, the senior leadership team and the teams in our impacted businesses have taken salary cuts and we have shortened work weeks and put in place short-term furloughs in the facilities and businesses where demand or travel restrictions have called for it.  We reduced OpEx by $50 million in 2019, and we have a similar-sized pool to target this year if our markets were to continue to deteriorate. Importantly, we consider none of these actions to be permanent. We expect the actions we are taking to be temporary and reflect the COVID-19 material decline in demand enhanced volume in our business. We are not damaging the long-term growth potential of our business through these actions, and we are preserving employment.  With the decline in year-over-year sales, we expect working capital to release this year and free cash flow should exceed $175 million for the full year of 2020. As we have said, we believe our business should grow faster than our end markets in all environments, and we intend to preserve profitability through aggressive management of our variable cost structure in difficult times. We historically have generated strong cash flows in all markets and should do so again this year.  Our balance sheet position and diversification allow for us to continue to invest in growth and maintain focus on the important drivers of our business long term. At the same time our global capabilities are demonstrating the real-time value of our supply chain continuity to our customers. This is winning us new business opportunities already.  Element Solutions has the mindset and the balance sheet to be on the offensive through this difficult period. As Carey mentioned, we made a small technology acquisition in our offshore business in Q1. This is a product still in development that we expect will have best-in-class environmental characteristics, which is increasingly important to our offshore customers, and this technology should give us a further advantage in this market in the future.  We also repurchased 3.7 million shares in the quarter at attractive levels. Despite deploying $50 million in capital, we held our leverage ratio flat at 3.2x. This quarter we will continue to look for opportunities to deploy capital in a prudent and measured way to drive long-term value, while maintaining discipline on our net leverage levels relative to our targeted ceiling of 3.5x.  We believe our response to the current crisis will help make Element Solutions a better company for its customers and for its employees. It has brought our team together in a remarkable way. The way we're nimbly collaborating across functions and regions has resulted in permanent organizational improvements.  At the same time, we've shown our workforce, which is the very foundation of the company, that we are committed to retaining them even in difficult times. We've shown our customers that we can supply them from many locations around the world in the midst of a once in a century supply chain disruption. At the same time, we've seen evidence of the markets we are participating in, are here for the long term, and if anything, increasingly important.  This crisis has demonstrated how much we rely on connectivity. 5G infrastructure is coming regardless of the economic conditions in the near term. High bandwidth mobility is essential to business continuity. Those drivers which are the key drivers for the long-term growth of this business will persist, and we will continue to lead by providing enabling technology in the future.  With that operator, please open the line for questions.
Operator: [Operator Instructions] We'll go first to Bob Court with Goldman Sachs. Please go ahead.
Anthony Walker: Hey guys! This is Anthony Walker on for Bob. 
A - Ben Gliklich: Good morning, Anthony.
Anthony Walker: Good morning. Ben, how much in EBITDA do you think was pulled forward into the first quarter from 2Q, and then as you think about the balance of the year, what are your expectations on the rollout of new smartphones by your customers? Do you think that those rollouts continue to move forward?
Ben Gliklich: Sure. Thanks for the question, Anthony. So, not a big amount of pull forward. We did see just as we built excess stock or safety stock this quarter, we did see some of our customers doing that towards the tail end of March, but it's not a huge, huge number. You know the outperformance relative to what we said at the end of March was really increasing strength in Electronics out of Asia and additional cost savings that we were able to generate relative to our expectations over the beginning of the quarter.  With regard to your second question around smartphone rollout, obviously we're seeing some smartphone rollouts being delayed into the latter part of the year. That may impact saving rather than absolute dollars of sales, and we're seeing in general, real resilience in our Electronics business.  As you know, that's an Asia centric business, and Asian supply chains have recovered really nicely from COVID-19 where you know we saw a big impact in February and less in March, and this isn't just an electronics – this isn't just the smartphone end market we're talking about. This is also Internet infrastructure and data center demand that has recovered really nicely and been stronger than we expected coming into the year.
Anthony Walker: Great! And then maybe just one on the cost out opportunity. So I think you highlighted $50 million in additional potential, which you've taken measures against half. What are the factors that could cause you to go after that additional $25 million opportunity and what would then be the timing of the realization in the P&L? Thanks.
Ben Gliklich: Yes, so what we highlighted was about a $50 million cost opportunity, which is similar to what we were able to generate last year and we've actioned less than half. Again, you know this is a variable cost business and we are able to throw levers to attack that cost on short notice, discretionary spend, incentive compensation. Those types of buckets that are really decisions that we take and the actions follow pretty quickly thereafter, and so our spend is going to be based on our outlook for revenue, and if we see a persisting weak market in line with what we're seeing and what we expect to see in Q2, we’ll certainly throw more of those levers and we expect to see that through the P&L very quickly thereafter.  Next question please operator?
Operator: We'll go next to Jon Tanwanteng with CJS Securities.
Jonathan Tanwanteng: Good morning. Good morning gentlemen. Thank you for taking my question. Nice quarter!
A - Ben Gliklich: Good morning Jon.
Jonathan Tanwanteng: Will you be buying back more shares now that you’ve paid back the revolver or do you see more value elsewhere in terms of CapEx?
Martin Franklin: This is Martin. Hi! I would say not right now, and the reason very simply is we just don't think it's in good taste to use company's cash to buy back stock at a time when you're having employees taking reductions in pay. It's just not what we do and – but when things normalize and I think at some point you know they are obviously going to, we will resume our repurchase in the absence of higher and better uses of our cash.
Jonathan Tanwanteng: Fair point Martin, thank you. Also, just wondering what are the prospects exactly for the oilfield business? You made an acquisition there. You know how much might profitability impact it this year and into 2021 if the low oil prices persist as they are right now?
Martin Franklin: Sure. So our offshore business is an offshore business. We don't do business onshore and so there are really long lead times associated with that activity, both production and drilling. And the production really hasn't and doesn't dry up. That's a very stable source of revenue, and that's more than the majority; that's the preponderance of that business.  The drilling activity will slow down; we expect to see that. But given the lead times, we expect to see that towards the back half of this year and into 2021. So as we look at our Q2 and Q3 outlook, our offshore business should be stable despite the low energy prices.  With regard to the acquisition we made, it was a technology acquisition, a very interesting technology that we expect to have best-in-class environmental characteristics and environmental sustainability and impact is really the number one priority for offshore energy producers, because some of this material does end up in the ocean and it doesn't sacrifice – this product doesn't sacrifice any efficacy.  We're a market leader in the offshore business, and this technology will protect that leadership position for the long future. So we're very excited about introducing that product, which we expect to take place in towards the tail end of this year into next year.
Operator: And we'll go next to Josh Spector with UBS. Please go ahead.
Joshua Spector: Yeah, hey guys. Glad to hear that everyone’s – that they are doing well. 
A - Ben Gliklich: Thanks Josh.
Joshua Spector: Just a question on industrial margins. You guys had a really good performance there in the quarter. Just curious, how much of that was mix versus kind of other things that would have drove margins up year-over-year? And related with that, you know how do you think about margins when demand ultimately normalizes or returns in that business on the back end of all this?
Ben Gliklich: Yes, so in the Industrial & Specialty business, about 70% is tied to the industrial surface treatment vertical, which had a weak quarter unsurprisingly and the industrial surface treatment vertical has lower gross margins than the other two businesses. So mix certainly was a big contributor to the gross margin expansion in the Industrial & Specialty segment.  I'd also note that we've been driving efficiency through our supply chain and we're seeing that impact every quarter through the cost actions we've taken from a supply chain perspective and a procurement perspective. So we feel very good about our ability to execute on that, and it's showing up in the numbers.  As we think about more normal demand environment, the Industrial business is running at a low level, right? That's the industrial vertical within that segment, and it should recover off of that level and become a bigger contributor. So I wouldn't suggest that the current levels of gross margin in Industrial & Specialty should be extrapolated, but we are driving gross margin expansion across the business through our supply chain initiatives and so we do expect our overall gross margins to continue to expand from the normal levels you would have expected from them in the past several years.
Joshua Spector: Thanks, that's helpful. And I guess somewhat related, if you think about raw materials for everything except for metals, is that a factor we should be thinking about in the second half or into 2021 if kind of the current environment holds in terms of like oil prices for example? And like how are your contracts structured around movements in those prices? Do those tend to give back in time or is there some type of benefit we should be considering?
Ben Gliklich: Yes, that's a good question. So the place to start is that our raw material footprint is very, very diversified and no single draw [ph] really represents a significant percentage of our total spend. The environment has had several – the raw material price environment and the commodity pricing environment has had several different and diverging impacts on our cost structure.  First, oil-based raws have clearly declined. That's not a big percentage of our overall raw spend, except for perhaps in the offshore business, and we will see some benefit from that. We've seen some precious metal prices increase, but those shouldn't have an impact on our gross margins because most of the metal, the precious metals we're buying have some pass-through mechanism, whether it's in the assembly business where they directly pass through or we have the ability to pass-through some of the price increase to customers with a short lag.  And then non-precious metals, tin, nickel and others, those prices have declined and we've seen that actually in the sales line, because as you know we pass through a lot of that metal price and its reported as sales. And so we try to break that out in our disclosure what the impact of metal is on our sales growth rate and so we may see some sales decline associated with metals prices, but it won't have any impact on margin dollars.
Joshua Spector: Okay, thanks.
Operator: We'll go next to Steve Byrne with Bank of America. Please go ahead.
Luke Washer: Hi, good morning. This is Luke Washer on for Steve. 
A - Ben Gliklich: Hey Luke!
Luke Washer: Good morning. I wanted to touch on your forward guidance. You mentioned that April 2020 sales were looking – we're running at about $130 million. What is that – seasonally what is April during the second quarter typically? And then as you look forward to May, are you seeing any kind of green shoots with regards to maybe a stabilization and declines in demand?
Ben Gliklich: Thanks for the question, Luke. So the second quarter doesn't have big peaks and troughs from a seasonality perspective. We see that in the first quarter with Chinese New Year, we see that a little bit in the third quarter with the European summer and so April normally is a normal month relative to May and June. This year we expect April to be a low month just given the fact that many of the OEMs who are our customers’ customers have been shut down, and so we do expect demand to recover as OEMs reopen in May.  You know what we're seeing is a transition from a supply chain driven demand environment, a supply chain disruption to a weakened demand environment. And that transition should translate to more demand, because when the supply chain is shut, in some cases orders go to zero in the automotive space for example. When the factory is reopened, even if demand is weaker, they'll improve and so we expect April really to be a low point as we look out.
Luke Washer: Okay, makes sense. And then just on capital allocation. You know I know Martin you mentioned that you wouldn't be doing any share buybacks in the meantime, but otherwise has your approach to capital allocation changed? Are you seeing – you mentioned opportunities and acquisitions, do you expect that to continue on pace or potentially grow?
Martin Franklin: Yes. I mean the reality is we are very well positioned to-date to go on offense and so we are looking and I think that obviously given what's going on on the macros, there will be some opportunities, and to the extent they become available, we'll be ready. I mean we're very focused on keeping our leverage ratio below the benchmark that we set for it, even in this environment, but we do have capacity beyond that and we're going to still generate a lot of free cash flow this year. So yes, we're going to continue looking.
Luke Washer: Okay, thank you.
Operator: And we'll go next to Neel Kumar with Morgan Stanley. Please go ahead.
Neel Kumar: Hi! Thanks for taking my question. In terms of the 50% decline in the Industrial business in the month, can you just give us a sense of you know what your assuming in terms of how that rate declined, perhaps lesser throughout the quarter in terms of your $70 million, $75 million guidance with just more auto OEMs opening?
Martin Franklin: Yes, so as I just said on the prior question, we're seeing a transition from this being a supply chain driven environment to a demand driven environment and so we will see some recovery in the auto space.  It's hard, it's an uncertain environment, it's difficult to forecast and so we're setting a conservative baseline with regard to that EBITDA target given the uncertainty. Surely, we'll see a decline in demand in our automotive business, but it will be an increase from what we saw in April, where in the automotive business in the west demand was close to zero, and so we should see a ramp, but not the depth of that ramp or the slope of that ramp.  We're forecasting it conservatively in the absence of more data points, which we should accumulate over the next several weeks as we enter May, and these facilities begin to reopen.
Neel Kumar: That's helpful. And then during the last downturn, I believe you had mentioned in the past some business declining organically in the mid-single digit range while EBITDA still grew. Can you just give us a sense of how that business composition has changed since then? What will allow you to replicate that performance or even do better from a market positioning or perhaps cost structure perspective?
Ben Gliklich: Yes, so I think you're referring to our comments on the call we had at the end of March, where you know we had gotten questions in the past, how does this business perform in an economic downturn, because it hadn't been configured as this through 2008. So we always had to point to the financial crisis when the top line was off 20%, if you put all the pieces together and EBITDA was off 10-ish%. Now we have last year as a data point when we saw real demand weakness in the industrial economy, we saw disruption in Asia, and last year our top line was off in the low to mid-single digits and EBITDA grew.  As we think about this year, we have the same levers to throw. We threw some of them last year, but we expect to have the same level of margin resilience as we have in the past. Strong gross margin performance execute against the variable operating cost structure we have and most importantly, cash flow. You know the hallmark of this business is our free cash flow and the stability of our free cash flow and we think it’s was most differentiating relative to our peers.  This is an asset-light business that does not require significant capital to grow or to sustain its margins and in down years we generate more cash than an up year. So you look at last year, we generated 20% more free cash flow in '19 versus '18, even though you know earnings were down, and we made a comment earlier today about $175 million of free cash flow as a number we expect to exceed this year. And so that's the type of performance that we would expect in a year like this and in an environment like this and cash flow is really the key thing that we're measuring ourselves against and we're focused on delivering.
Operator: And we'll go next to Jim Sheehan with SunTrust. Please go ahead.
James Sheehan: Good morning! Thanks for taking my questions. Did you take any market share in the first quarter? I'm just looking at your organic growth. Did you exceed the underlying markets again in the first quarter? And if so, can you just explain, you know what's been driving your market share gain, both recently and over the longer term?
Ben Gliklich: It's a great question, Jim. I appreciate that. You know the data is still coming out around market performance, so I can't – we can't point to anything empirical that says this was our market share gain in the first quarter. But I think that our performance and our business continuity, if it didn't translate to market share growth in the first quarter, it will translate to market share gains in the future. You know this is an industry and our market, these niche markets have big moats around them and it's – the switching costs are really high, that's why the margins are so high and so sustainably high. So converting from a competitor to our products doesn't happen overnight by and large.  That said, you know the nimbleness that we demonstrated from a supply chain perspective, our ability to provide continuous product across continents when many of our peers and competitors supply chains were shut down, that is highly distinguishing, and having that global supply chain and that flexibility and responsiveness is highly differentiating. At the same time, having a balance sheet that allows us to continue to focus on our customers and focus on our long-term objectives and not be distracted by short-term issues is highly differentiating. And so we feel very good about what we were able to do in the first quarter and what we were able to prove to our customers in the first quarter.  We're already seeing some new business opportunities associated with this. They're more modest, but we're highly confident that over the medium term, this disruption and what we were able to deliver through it will win us more market share than we had going into it and we will emerge stronger.
James Sheehan: Terrific! And you talked about 5G being relatively strong in the quarter. Can you talk about what you're seeing in China and anywhere else in Asia from government stimulus? You know is that type of growth sustainable? When would you expect organic growth and the 5G to start to accelerate?
Ben Gliklich: Yes. So came into the year cautiously optimistic about the electronics business. It had had a weak year last year. We've been sort of expecting 5G to come. The resilience we saw in our electronics business, specifically the higher end, the circuitry and the semiconductor business through the beginning of this year was positively surprising.  So when things closed down in Asia, there were still some continued demand and the recovery back was faster than we would have expected. And so you see that in our results, in our Electronics segment, where the circuitry business and the semiconductor business has performed well in the first quarter, and we expect that, we tie that to both 5G and data center demand. And so we see some real investment, particularly in Asia behind 5G infrastructure and obviously with what's happening in the world, there's been a huge, huge surge in spending for a data center infrastructure.  So that's a trend that's not going away anytime soon. We see you know several years of investment associated with getting 5G infrastructure in place and we will be beneficiaries of that on the top line and from a margin perspective, because that's a higher margin product category or higher-margin product requirement, technical requirement than the average in the business.
Operator: And we will take a follow-up from Jon Tanwanteng with CJS Securities. 
Jonathan Tanwanteng: Alright, thanks for taking the follow-up. I was just wondering you know, what kind of plans your clients are making for the second half of electronics launches. Specifically, you know how many programs have been pushed out to your knowledge either by a month or two or into the next quarter?
Ben Gliklich: It's a moving target, John. It's a moving target, right? I think that the disruption has certainly set some things back. A lot of the OEMs have ambitious plans to get back on track, but the level of disruption and the reopening is unknowable at this point, or the pace of the reopening is unknowable at this point.  You know we're not materially tied to one specific OEM or one specific product launch, so we have some diversification around that that insulates us, but clearly new launches will be delayed by a number of months, but we're not in a position today to say if that's you know two months or four months.
Jonathan Tanwanteng: Got it! And then just as a follow-up to that, we saw Apple launching a pretty successful mid-tier phone just recently. I'm wondering if you know that kind of phone looks like it's going to become more popular in this economic environment you know, and how much difference that your profitability if people are switching from higher end to more mid-tier lower end devices?
Ben Gliklich: That's still a relatively high end phone compared to some of the local Chinese sort of average phones you see, and so we've got quite a bit of content across the – call it the Western and Korean OEMS, and so that's a – you know if folks are switching from local Chinese to mid end Apple phones, it's probably a good trend for us. I don't know Scot, if there's anything you would add to that?
Scot Benson: No, I think that's right Ben. I think you know Apple still has a very high standard for their components and we benefit from any growth in that area.
Jonathan Tanwanteng: Got it! Thank you very much.
Ben Gliklich: Thanks Jon.
Operator: And we'll take a follow-up from Josh Spector with UBS.
Joshua Spector: Hey guys! Sorry, my question has been answered.
Ben Gliklich: Okay.
Operator: There are no further questions at this time. I'll turn it back to Ben Gliklich for any closing remarks.
Ben Gliklich: Thanks very much and thanks to everybody for joining the call this morning. We look forward to speaking with you in the coming weeks and months. Thanks again.
Scot Benson: Stay safe.
Operator: This does conclude today's program. We appreciate your participation and you may now disconnect.